Eamonn Crowley: Good morning, and welcome to our 2025 Full Year Results Presentation. I'm joined here today by our CFO, Barry D'Arcy. I'm going to cover the key highlights for 2025 and comment on the wider progress we have made through this first year of our 3-year strategy. I will then take you through how we see the financial performance of the bank evolving over the next few years before handing over to Barry, who will provide a more detailed review of our 2025 results. After this, we would be happy to take your questions. So if we just turn to Slide 5. 2025 was a transformational year for PTSB. The bank's balance sheet continued to grow as customers responded to the strength of our brand and product offering. We lent a total of EUR 3.4 billion during 2025, and this is the highest level in 18 years, with circa 17% of this lending in nonmortgage lending. Our deposits increased by 6% or EUR 1.5 billion. Our mortgage book grew by over 3%, and our business banking portfolio rose by 9%. Looking at our key financials, our total income reduced by 3% during the year due to the lower interest rate environment. However, it was a game of 2 halves with income in the second half of the year recovering 3% relative to the first half as margins stabilized, enabling volume growth to drive net interest income. Our operating costs also reduced by 2%, and I'm pleased to say that we achieved operating cost level of EUR 519 million, which is EUR 6 million less than what we guided a year ago and EUR 12 million less than 2024. In terms of profitability, our profit before exceptional items and tax was EUR 175 million, which was 3% or EUR 5 million lower than what we recorded in 2024 and this translated into a return on tangible equity at 7.3%. And as you know, we believe the bank is well positioned for this number to materially increase over the next few years. Moving to capital. Our Core Equity Tier 1 capital level was very strong at 17.5% at year-end on a pro forma basis. And the approval of our IRB mortgage models is transformational for the bank as it significantly enhances our competitiveness and will enable further sustainable business growth and returns for our shareholders now and into the future. And finally, I'm delighted to announce a proposed final dividend of EUR 10 million or approximately EUR 0.018 per share and this is another important milestone for the bank for a number of reasons. It's the first dividend since 2008. It is the first dividend payment as a stand-alone business and not under the Irish Life banner. It is regulatory approved after an extended period of time when the bank was subject to a dividend restriction or dividend blocker, and it clearly reflects the renewed strength of PTSB. If we turn to Slide 6. 2025 was a year of real delivery for PTSB. As you can see on Slide 6, we met or exceeded our guidance on every key metric, be it income, costs, impairment, capital or returns. If we turn to Slide 7. This time last year, I took you through our fresh 3-year business strategy. So I won't dwell on this slide again today. Our ambition is to be Ireland's best personal and business bank through exceptional customer experience. And the overarching goal of our strategy is to deepen customer relationships, diversify our income and differentiate through customer experience. And in parallel, the bank will drive greater operating efficiencies so we can continue to grow and generate sustainable returns for our shareholders. If we turn to Slide 8. On Slide 8, I would like to give you some sense of how this strategy comes through in the business on a day-to-day basis, and this is behind the headline financials. So a lot of points here, so I'll only pick up a few. In our Own My Home value stream, a key objective for us is to improve our digital mortgage sales and service internally for all our customers. And this would be good for our top line, but also for our cost base as we put more information and decisions into the hands of our customers through an online portal. Mortgage drawdowns through this portal were up 55% in 2025. And we've rolled out features through this portal, including balance availability and statements. And indeed, there are many more features to deliver in due course. In our Manage My Money value stream, we put a lot of investment into our app, and it is encouraging to see that the benefits of this investment is starting to come through. Customer ratings across iOS and Android have effectively doubled in the past year when measured on a monthly basis. We will continue to push hard on this front as the app is now most -- is how most of our customers interact with us today and it is key to us attracting more current account customers with low-cost funding. And I should also say that our core NPS -- relationship NPS score across consumer banking was up further 2 points to 24 in 2025. In our Grow & Run My Business value stream, our impact lending was up 16%, and we continue to widen our product footprint, such as the new higher purchase product line for companies at reduced rates, which are quite attractive. And we will also look to enter the PCP market in 2026, which is a very popular route for consumers when buying their car today. Finally, we've listed a number of achievements that come under the Transform the Bank and Strengthen the Foundations value streams. I will cover the IRB model transformation on the next slide, and I've mentioned the dividend payment already. But I would also point to a 10% reduction in FTEs in 2025 and the progress we've made in embedding sustainability within the bank as evidenced by the upgrade in the CDP rating from a C to a B. In addition, we are rolling out AI tools across the organization. We have initial AIB capabilities deployed in customer service and operational passes. And we are also targeting advanced solutions in fraud, AML and product innovation. So our AI adoption is progressing steadily with a clear focus on building the foundations needed to scale responsibly. And we continue to explore value-based use cases across priority areas and build our understanding of the benefits from AI tools as they become embedded. Let me just turn to Slide 9. We've been talking to you about our IRB story for a number of years, and it is fantastic to finally receive regulatory approval to use new and updated models, which better reflect where PTSB is today. As you can see in the chart on Slide 9, the risk weighting on our total mortgage book has reduced dramatically since the end of 2024. The first major reduction reflected the implementation of CRR3 on the 1st of January 2025. And if we pro forma at the end of 2025 number, the risk weight would fall another 4.6 percentage points to 30.7% and that is a significant fall of around 9 percentage points in just 1 year. We're not going to disclose specific numbers for our IRB book. But you've heard us talk about a risk weight on our new business of over 50% under the previous mortgage model. This has now reduced materially, which provides us with not only higher RAROC levels but increased optionality as to how we might want to compete in the market. As we said on the call in January, when we announced the news, the key point to understand here is that the risk weight and our overall book will continue to reduce in the years ahead as we write new business at lower risk weights and the older loans on the book, which have a higher risk weight roll off. And this fact supports our confidence that the bank's RWAs are now projected to be 10% lower than we originally penciled in our medium-term financial plan. In recent weeks, we've been working on updating this plan and feeding the new IRB models into our ICAP cycle. This work is not yet complete, but clearly, the bank's sustainable returns and distribution capacity are now a good deal higher than where they were. We are probably looking at a rate closer to the European average of around 50%, other things being equal, rather than the 40%, which is covered in our dividend policy today. However, at this time, we do not plan to make any changes to this policy or recommend further distributions due to the ongoing formal sales process. If we just turn to Slide 10. So as we leave legacy issues behind us that for so long have held us back as a bank, we believe the PTSB franchise is now well positioned to really show what it is capable of. However, the fortunes of any bank are tied to the economies in which they operate. And PTSB is truly fortunate to operate exclusively in the Republic of Ireland, which has been and continues to be one of the most vibrant and resilient economies in Europe. And notwithstanding all the geopolitical uncertainty over the past year and indeed over the past week, the Irish economy continues, as I said, to be resilient. And it is notable that our core market of mortgages -- apologies, it is notable that our core market, which is mortgages, new lending in 2025 surprised the upside with mortgage lending reaching EUR 14.5 billion for the year compared with a more conservative forecast of EUR 14 billion. And we took 20% of this larger market, which was in line with our expectations and our objectives. So if we just turn to Slide 11. We've laid out here our medium-term targets, which are unchanged from what we gave you a few weeks ago, and also our new guidance for 2026. In giving you this new guidance, we are somewhat constrained in what we can disclose due to the restrictions of the takeover panel rules. But looking out to 2028 and underpinning these numbers is an acceleration in lending growth from the current 4% rate, driven by an expansion in the mortgage market and an increase in the net interest margin to 2.3%. And it should be noted, we recorded a margin of 2.3% in 2023. So we regard this as not being overly aggressive. We also aim to keep costs well under control out to 2028, which will enable our cost income ratio to fall significantly to less than 60%. If you look at asset quality, we continue to see signs -- we continue to see no signs of strain in the book, and we are well provided for, but we prudently model for a cost of risk that moves upwards towards a 20 to 25 basis point range 3 years from now. So we put all this together, we believe we can drive a return on tangible equity towards 13% by 2028. And if you roll this forward a couple of years, we believe that number will be higher than 13% in that sense. So just to mention that. So I'd like to thank you at this stage. I'll now hand over to our CFO, Barry D'Arcy, who will take you through our financial performance in more detail. Thank you very much.
Barry D'Arcy: Thank you, Eamonn, and good morning, everyone. Slide 13 sets out our financial performance for -- during 2025. Total operating income reduced to 3% during 2025, as while our balance sheet grew, our margins reduced reflecting lower ECB and mortgage rates and higher average deposit costs. However, as Eamonn said, it is important to note that income returned to growth in H2 with a rise of 3% relative to H1, and it was only marginally lower on a year-on-year basis. Total operating costs were EUR 519 million or 2% lower and this outturn was better than the EUR 525 million we had guided. Within this, regulatory charges came in at a lower-than-expected EUR 25 million as we had no charge for the deposit guarantee scheme. Given the gap between income and cost, cost growth, our cost-to-income ratio rose 1 point to 75%, albeit the ratio fell over the course of the year and was closer to 74% in H2. We've recorded an impairment release of EUR 39 million for the full year, reflecting the underlying health of our assets and the completion of a review of our IFRS 9 models for the mortgage book. To note, this is the fifth year in a row that the bank has recorded an impairment release, and this is testament to our low-risk balance sheet and a prudent approach to provisioning. Exceptional items were EUR 47 million, which is higher than the EUR 32 million we guided at the half year stage. This includes EUR 35 million for the voluntary severance scheme and EUR 12 million for other noncore items, which included some early cost for FSP or formal sales process. Stripping out exceptionals, our underlying profit before tax was EUR 175 million for the period, and our equivalent EPS came in at EUR 0.206 for the year. Meanwhile, return on tangible equity on the same basis was just over 7%. And finally, as Eamonn mentioned at the outset, we are delighted to be able to recommend a final dividend to shareholders of EUR 0.018 per share, our first in 18 years. On Slide 14, we show our net interest income, which was EUR 590 million for the year, which is 4% lower. The main negative driver behind NII was higher deposit costs. This is a function of higher average volumes relative to last year, particularly in term products and higher average rates. However, I mentioned at our interim results that our costs of our deposits had peaked. And indeed, the average rate we paid on both our term deposits and interest-bearing deposits in aggregate was lower in [Technical Difficulty] hedges in place to manage our IRRBB exposure within risk appetite. As rates came down, recorded gain on hedges linked to our MTNs and Tier 2 instruments, which helps lower wholesale funding costs. Our asset yield reduced 22 basis points year-on-year as income on our tracker mortgages and cash balances repriced. I'll talk about our lending income in more detail in a minute. Meanwhile, our average cost of funds having been up 3% at the halfway stage fell 4% -- 4 basis points year-on-year when measured after the hedging gain. Our net interest margin was 203 basis points for the year, consistent with our guidance of greater than 200. Our Q4 exit NIM was 208 basis points, and favorable rollover rates on both the asset and liability side are helping to raise margins as is a positive change in the mix. This puts us in a strong opening position relative to our guidance, which is for a NIM of greater than 210 basis points for 2026. Once again, this guidance is based on the assumption that the ECB deposit rates remain at 2% through the year. The bank's sensitivity to movements in interest rates has reduced materially in recent years and we have shown that latest number on the slide from movements both up and down from here. Moving to Slide 15. Our new lending performance -- our total new lending was EUR 3.4 billion in 2025, which was up 31%. In mortgages, we lent EUR 2.9 billion, and our market share was a strong 20% compared with the 16% level we recorded in 2024. New lending and business banking, which includes SME and asset finance was EUR 450 million, up 4%. And again, we were particularly pleased with the 10% jump in new SME lending, while asset finance was flat. And in response, we took steps in the fourth quarter to support a better position to compete across the different market segments. For a number of years, PTSB has not really been an active participant in consumer lending, and it only represents about 1% of our loan book today. However, we expect this to change. The 10% rise in payouts shown here hides what has happened since we refreshed our offering in September with lower rates, a simple product set and an easier online process. Since that refresh, average weekly applications are up 25% and drawdowns up 63%. On Slide 16, we'll give you some detail on our lending income and our mortgage book, in particular. Our performing mortgage book rose by 3.5% in 2025 to EUR 20.4 billion. Falling rates outweighed the benefit from this volume growth as our margin slide showed. You can see the different effect of falling rates in the chart at the bottom on the left. Our flow yield, which captures new to bank customers during the year was 3.62%, but it was still slightly higher than that for the stock, which was 3.53%. However, an important piece of our lending story is what's happening with our fixed rate maturities. Here, we have mortgages written when rates were much lower, such as in 2022 and '23, maturing on to higher rates today, and that is providing support to NIM as we go forward. For instance, nearly half of our fixed rate matures in 2026 and '27 and is coming off rates that were closer to 3% rather than the 3.5% for the book overall. We show you here the latest split of the mortgage book. And as before, fixed rate mortgages make up the majority of our performing book at 74%. The variable component of the book is now 15%, and the ECB tracker portfolio is down to 11% of the book. On Slide 17, net fees and commissions increased 5% to EUR 58 million, driven mainly by growth in current account income. Unlike our competitors, we charge a flat per monthly fee for our current account and provide a range of other benefits, including 2% cash back each month on your mortgage if that is with PTSB also. Growing this revenue line is not just about growing our customer base and improving cross-sell. It is also about managing our outgoing costs, particularly in the payments area, and this is something that we've been working very hard at. Other developments mentioned include the final implementation of SEPA instant, and we look forward to the imminent launch of Zippay in Ireland, which will make peer-to-peer payments easier between the local banks. Aside from fees and commissions, we also recorded EUR 7 million in other income, up from EUR 5 million last year, and we alluded to these customer-related FX and hedging gains in our Q3 statement. Moving to Slide 18 and looking at operating costs. These were EUR 519 million for the year, down 2%. This was better than our guidance of EUR 525 million. Regulatory charges came in at EUR 25 million. And excluding these charges, underlying costs were down 1%. Meanwhile, the bank's cost-to-income ratio at 75%. And as I said earlier, there was a reduction from over 76% in H1 to near 74% in H2. At the start of 2025, we committed to a reduction of 300 FTEs. Through our voluntary severance scheme and natural attrition, we have delivered a reduction of 329 to an overall FTE number of 2,918 for the year. The VS scheme will generate annualized cost savings of circa EUR 21 million per annum, less than half of which came through during 2025. And the carryforward benefit here will help offset general inflationary pressures. We also expect our depreciation charge to be lower this year. There was a one-off element relating to leased assets in 2025. For full year 2026, we're guiding a cost-to-income ratio of less than 70%. On Slide 19. Asset quality remains strong. And as a result, the bank recognized the EUR 39 million P&L write-back, the fifth year in a row we have done so. The main drivers behind this result were the continued benign macro environment and the conclusion of the review of our IFRS 9 mortgage models. This review covered staging, LGD and PD models and contributed significantly to the EUR 72 million decline you see in the total provision. Our provision stock ended the year at EUR 320 million or 1.4% of loans, down from EUR 392 million and 1.8% the previous year. Within the total, the main move that took place related to coverage of our Stage 1 loans. We previously held 64 basis points on these loans, which marked us as a significant outlier relative to peers, and this is now reduced to 18 points, which is still marginally more conservative than our peers on a like-for-like basis. On the other hand, coverage of Stage 3. Our NPLs is now higher than a year ago as part of our provision models program, a new approach to calculating ECL for longer-dated NPLs was developed and now uses a DCF-based formula. This approach resulted in higher coverage levels for NPLs on the books for greater than 3 years. We recently completed a small NPL sale and this also contributed to the reduction in our stock of provisions and a further fall in our NPL ratio to 1.4%. While the transaction completed after the year-end, these loans were held as receivable at the 31st of December '25. The average loan to value on our mortgage book is now 46%, while the figure for new business was 65%. Our review of IFRS 9 models for other loan books is well underway and should conclude later this year. In terms of guidance for 2026, we continue to believe we are well provided for currently. And again, we would point to a nil or 0 charge for the year. If I go to Slide 20 next, our approach to scenario forecasting has changed post our IFRS 9 models review, and we're now more in line with the approach taken by our peers. For instance, we now have 4 rather than 3 scenarios for mortgages. What has not changed, however, is that our forecasts are still on the conservative side relative to consensus. Our downside 1 scenario best captures the geopolitical developments that we're seeing play out right now with unemployment rising to 8.5% in 2027 and house prices falling to 8% -- or falling 8%. In the second table, we have provided you with a sensitivity showing how provisions would move if each scenario came to pass. On Slide 21, looking at our funding and liquidity. The picture here remains the same, that of the bank in a very strong position. You can see here that following over 5% growth during 2025, our balance sheet has now crossed the EUR 30 billion mark, which is a significant threshold from a regulatory perspective. The key driver behind this was customer deposits, which rose 6% year-on-year. And while this was slightly lower than the 7% we reported in the first half, we did flag this would happen after it was a very strong start to the year. Our retail term deposits rose EUR 0.9 billion, and the growth in balances slowed during the year as market rates came down. That meant less cannibalization from our current account balances, which were up 4%. I said at our interims in August that the average cost of interest-bearing deposits was plateauing. And this, indeed, the figure for H2 came in at 9 basis points lower than in H1. This should continue to fall going forward as our more expensive deposits in the 2.75% to 3% range starts to roll off. Meanwhile, our MREL ratio remains very strong at over 36%, which is well ahead of a requirement. And if we measure this on a pro forma basis using new IRB models, it would be even higher. It's no surprise, therefore, that we are reviewing our issuance needs over the next number of years. For instance, we have EUR 650 million in medium-term notes that have a call date in April 2027, with a coupon of 6.6%. Under normal circumstances, one might look to refinance that toward the end of this year, and such a bond will probably have a 3% handle today given where our rating and spreads are. On Slide 22, before I take you through our capital, I just want to give you some color on the various changes that have taken place on our RWAs. Eamonn mentioned earlier that the overall weight on our total mortgage book has fallen by almost 9 percentage points since the end of '24. If we pro forma for our new IRB models, that is a combined effect in addition to the movement on CRR3 on the 1st of January and the new models coming into effect 5 weeks ago. We've mentioned that if we applied the new IRB models to our June 2025 mortgage book, the average risk weight would fall from 36.4% to 32.8% or by 3.6 percentage points. Running this pro forma calculation again at the end of December '25 would reduce this weighting from 35.3% you see in the table here, to 30.7%. That's a reduction of 4.6 points. This translates to a pro forma drop in RWAs of over EUR 900 million or the equivalent of EUR 130 million in capital, and compares with the circa EUR 700 million reduction we spoke about just in January. If you look at the IRB book on its own, the reduction in average risk weights for the new models is larger at around 6 percentage points. Again, we expect this risk weighting to fall further over time as new lower-risk loans come onto the balance sheet and older, higher weighted loans roll off. For clarity, our core PTSB home loan book is now the only book we have on IRB. All our other loans, be the Ulster Bank mortgages we acquired, our legacy buy-to-let portfolio, our business banking and our consumer lending are now all unstandardized. This makes sense for us, and it's more efficient from a cost perspective, given the relatively small scale of these portfolios. Looking at Slide 23. Our CET1 was 15.9% at year-end. But on a pro forma basis, building in the benefit from the loan sale and the new IRB models, this would rise to 17.5%. In the chart here, we show the various moving parts in our CET1 over the last 12 months. And you can see that CRR3 and IRB approval have lifted our capital level into a completely new territory. The greater than EUR 900 million reduction in RWAs from IRB translates into a CET1 gain of 1.5%, while the loan sale added 0.1%. At this level, our CET1 is well in excess of our regulatory requirement with our 2026 SREP requirement of 10.69%. And while we are committed to optimizing our capital structure, as Eamonn said earlier, given the ongoing FSP process, the Board does not plan to recommend further distributions to shareholders at this time. And so to summarize, we are very pleased with the financial performance of the bank in 2025. Particular highlights for me were the return of revenue growth in H2, the absolute decline we achieved in costs and the very positive developments we saw in relation to our capital. I'll hand you back to Eamonn now for some concluding remarks, and then we'll open for questions. Thank you.
Eamonn Crowley: Thank you, Barry. I would like to finish on Slide 24, to remind you of our guidance for full year 2026 and indeed, the medium-term targets. We see our return on tangible equity rising to over 9% this year and reaching around 13% in 2028. And underpinning this improvement in returns is a rising net interest margin combined with an acceleration in loan growth as the Irish mortgage market grows, and we continue to diversify our lending into business banking. With tight cost control, we believe our cost income ratio will fall below 70% this year and below 60% in 2028. And lastly, we prudently model for some modest deterioration in the cost of risk from a 0 charge this year to a range of 20 to 25 basis points in 2028. We believe PTSB is now in a really strong position to compete and win on the Irish market, which is one of the best banking markets in Europe, both from a growth and a structural perspective. In addition, with the bank now in a more level playing field from a capital perspective, we can grow while improving returns we generate for our shareholders. It's also important to note that 2026 represents our own birthday in that we are 210 years in existence, and we were set up primarily to help customers save and then use -- for the TSB to use those savings in order to help customers buy their own home. Our target, well, not much has changed in our approach since then, except to get a mortgage in 1816, it was a lottery for people who saved. So we have a much more sophisticated credit approval process these days rather than just a lottery. But in that sense, our core purpose and what we operate today around building trust with customers, helping them with their financial needs, helping them with their savings and indeed, helping more than 9,200 customers last year acquire a home has not changed in that sense. So thank you very much for joining us today, and we would be happy to take your questions. As before and as we mentioned, we restricted in the level of information we can provide about our formal sales process, but also our financial forecast in that sense due to takeover rules. And I should mention as well, once again, our financial advisers, Goldman Sachs are here with us today to ensure that all information we provide is permitted under these rules. So thank you very much for your attention, and we're happy to take your questions now. So thank you.
Denis McGoldrick: Just a couple please, if I may. So one maybe, Barry, just in terms of the interest-bearing deposits. So you gave good color on how the cost of those reduced half-on-half. Maybe if you could provide a guide for 2026? And I guess what level of that continued reduction is supporting the higher NIM guidance? And then secondly, just on the risk weights and models, is it still your intention to move the Ulster loans on to IRB as presumably there would be a benefit there rather than staying on standardized? And if I could get in one more, maybe, Eamonn, just from a broader perspective in terms of the mortgage market and your own positioning. With the market share at about 20%, what is your level of ambition for that in light of, obviously, the new models?
Barry D'Arcy: Thanks, Denis. So on the deposit front, what we've seen, as I mentioned earlier, our rates in previous years at 2.75%, more recently for 1 year and 3% for a 3-year -- more than 2 years ago are starting to roll off. Our current headline rate on term is 2%. We have a very favorable regular saver at 2.25% as well. So what we've seen is we did reduce rates in the fourth quarter. We saw volumes being maintained. It's an area that we keep a very close eye on and look at movements. But I think the broader piece that we see in the market is that the Irish consumer is in a very strong resilient position and we see those deposits growing, and our ambition there would be to follow the market in effect. So that's something that we'll keep a close eye on. Regarding the Ulster portfolio and IRB, one of the key points on that is that, that portfolio continues to pay down quite rapidly actually. The risk weights, we haven't disclosed the risk weights on that portfolio. A key challenge on that is, obviously, we're successful at concluding the IRB outcome on our core portfolio. There is some work to be done on that over the coming years. And the question is, which comes first. So we're looking at that, and we're having good regulatory engagement to ensure that we get the best outcome for the bank but also suit and support what the regulatory expectations are there. So that's a work in progress.
Eamonn Crowley: So just on your question on mortgages. Obviously, mortgages continue to be a key part of our volume growth. But as I mentioned earlier on, 70% of our lending last year was nonmortgage. And it's not so long ago that it was only a [ 95.5% ] number. So we are trying to diversify into other areas, and we're doing it quite successfully and Barry gave an indication of the growth we're seeing in unsecured lending. But to come back to your core question. What the IRB models really allow us consider our positioning in the mortgage market and much more in a freer manner in that sense. And we've clearly indicated in our presentation that the risk weights and first-time buyer mortgage origination, which is about 60% to 70% of the market are lower. And therefore, our return in that segment of the market has improved significantly. And therefore, it gives us more optionality. And you would have seen in mid-January, we reduced our rates, particularly for higher LTV mortgages, which is a first-time buyer mortgage category. So we're not chasing any market share. It is our natural area of activity after 210 years of doing this very extremely well. And we have more optionality in that sense. We're happy with our 20% share in a growing market. But we can also consider competing more in various segments, given our new IRB modeling. So that's how I'll put it.
Unknown Analyst: Just 2 questions on capital, if I may. First of all, the CET1 ratio of 17.5% on a pro forma basis seems a little bit higher than what was mentioned in the January statement. I was wondering if you could provide us some color there and then talk us through the moving parts of that change? And then secondly, on capital returns. If you can provide some details on the decisioning to pursue further capital returns at this time?
Barry D'Arcy: I'll take the first question. Eamonn, you might take the second piece. So the 17.5%, obviously, greater than EUR 900 million RWA change with the IRB models equivalent in that is the back book versus front book mix. Eamonn mentioned earlier, great than 50% previously with the models that were developed back in 2017 versus now. We haven't -- we cannot actually share what the new number is, but it's materially lower. And in FX, what we've tried to do with the capital model is building our strategy. So we want to -- how we actually acquire current account savings and also the mortgage. So the broad customer relationship plays into that. So what we saw was a very strong second half year on mortgage acquisition, and that played into our numbers. As that progresses over time, we'll continue to see that evolve. Another feature of this as well with the model for those loans that actually have any arrears history or negative elements in terms of payment. The model is more penal as well. So we have to look and consider how things will actually look at over time. But all in, the number at June reflected the balances that were available. The December obviously reflected a strong second half, and that has played very positively through to the number.
Eamonn Crowley: So to come back to your second question, the pro forma is based on the IRB model officially been approved in January. So we -- that pro forma is based on that number. But dividend payments are based off your financial statements. So it's the capital position as at the end of the year or expected capital position. And as Barry mentioned, the IRB models alone have added 1.5% to that CET1. We have to put this in the context of 2 aspects. One is it's our first dividend payment, where we've applied to the regulator. And that in itself is a momentous application for us because of where we've come from. And secondly, it has been absolutely the norm in the market that the first dividend payment that banks make at a slightly lower level than -- so as to ensure that there's a sustainable dividend payment going forward. That's the norm in the market. Indeed, we would have seen even Virgin Money issuing a dividend of 1p per share when they started to show that they could pay a dividend. That's really all I can say about it because we are in a formal sales process, and it is not our intention to make any distributions based on that process. So that's all I can say. But to reiterate, it's the formal position at the end of 2025. We look at not the pro forma, and we're following a normal path of how a bank thinks about distributions. And this is particularly relevant to us because we had a dividend restriction or a dividend blocker, 1 of only 2 banks in Europe to have such a blocker for such an extended period of time as well. So that's the background. Are there any questions online?
Operator: [Operator Instructions] Our first question is from Dan O'Neill from Carraighill.
Daniel O'Neill: Two from me. So firstly, your 20% mortgage market share versus the 16.5-ish in 2024. So I believe it's at least partly explained by disagreement between one of your competitors and the brokers. I don't think this caveat has been mentioned today. So basically, I'm wondering if there's a risk that this comes down going forward, even despite your improved ability to complete post IRB. And then the second question is to do with headcount. So I think you said that EUR 35 million of costs were related to the voluntary severance scheme. So the 300 FTEs that works out to about EUR 120,000 per head. So given that, it would appear that you've lost higher-paid employees. So looking forward, do we have falling FTEs as well as a falling cost per employee?
Eamonn Crowley: Okay. So I'll pick up the first one. I won't comment on how competitors are competing in the market. The year before last year, so 2023, we had a 20% share of the market and it dipped in '24, primarily because of our -- the capital movement related to the Ulster deal, and we were cautious in the sense of how we allocated our capital as we settle that deal into the bank. We have -- you're referring to the intermediary market. We have a long-standing and very positive engagement with the intermediary market. The broker market, which now represents between 40% to 50% of volume, it's not so long ago it was only 20% of volume. And we actually have a positive and growing share in that segment because we've stuck with brokers and we supported intermediaries through thick and thin over many, many years. We're one of the fastest to, yes, and the fastest to cash, and brokers like that. So once we are competitive on price, we will win business through that channel. We've seen other competitors go in and out of that market over time, but we have been consistently there for brokers. So we're comfortable with our position. But in fact, when you stand back, our non-broker channel by way of mortgage origination is growing much faster than our intermediary channel. And that's related to our brand proposition. We are now 1 of 3 pillar banks in the market, and we're competing effectively. And the mention of IRB model review will now help us by way of our optionality with regard to how we will compete in that market with a much better return than we had here before. So overall, I'm not too worried about what others are doing. I'm actually concentrated in ensuring we fulfill broker needs, and we ensure we're growing our share in the nonbroker channel as well. So overall, that's our position.
Barry D'Arcy: Thanks, Eamonn. Just on the FTE storyline and the EUR 35 million voluntary severance. What we did in DC, it was actually -- it was a longer service staff who took the option to take a voluntary severance. So in all, I think it was around 240 FTEs that have actually chosen to take that out of the 329 that we saw leave the bank at the end of 2025. There are some elements that will come through in the '26 results, as I mentioned earlier, about just under half of the savings of EUR 21 million that we expect on a full year basis came through in 2025, and we'll see the balance of that come through in the current year.
Eamonn Crowley: But just to add to what Barry said, we have more longer term colleagues who have taken the availability of that. So it's a mixture of service, how that interacts with the severance payment and then their underlying salary costs as well. So it is -- it has worked for us. And indeed, all employees have contractual rights in that sense. And we've facilitated our colleagues and indeed, reduced our head count in a very professional manner, and that will continue to be our approach as we think about overall head count. We will manage it professionally. We'll manage it in an orderly fashion. And indeed, we are focused, as I mentioned earlier on in ensuring we drive efficiency. But efficiencies also, a flat cost and a growing volume by way of how we think about growing our business over time and a diversification of our business with a higher margin. So all of these things are coming together, and we can make sense to them. But we will continue to focus and manage our costs. And lastly, against our 2 players in the market, their costs have increased this year, our costs have reduced. So I think in that sense, we are also booking the trend of the wider market. So thank you.
Operator: Our next question is from Aman Rakkar from Barclays.
Aman Rakkar: We've got feedback on the line, so I'm going to try and ask the question anyway. On costs, I just want to check, I think the market is probably looking for cost to be down versus the '25 level. And I just wanted to check whether that's a realistic assumption. Obviously, you've done better performance on an underlying basis in '25, but it seems like the levy, for example, is unsustainably low. So I just wanted to check. You might not want to give us an exact number, but just in terms of the shape, is it reasonable to expect the kind of cost down from the '25 level from here? Or should we expect kind of some potential increase in that, mindful of the fact, the top line looks like it's growing pretty strongly from here. And then the second one, I appreciate the limitations that you're under right now and you might be constrained in terms of what you can say in terms of financial outcomes, but just would invite you, if you're able to comment at all on the formal sale process in terms of your experience to date or any color at all would be very helpful, if you're able to.
Eamonn Crowley: So I'll pick up on the 2 questions. I'll take the second one first. So under the takeover panels, with panel rules, we are absolutely restricted in commenting with respect to the process, only to say that it's ongoing. And also to say because it's in the public domain, when we announced this program, we announced it in the sense of clearly saying to the market, we have a strong position. And these 2025 numbers underpin our position at that time around launching the sales process, which in itself was an open process, and invited anybody who had credibility and interest in acquiring the bank, as I say, 1 of 3 peer banks in the market, and that process continues. I can't comment any more than that. With regard to definitive comment on lower cost. Again, we're restricted in saying that. But we are very cost conscious. We are focused on managing our costs. I refer to aspects of human-assisted AI activity that we're working on and looking to embed in the organization over the next number of years. And indeed, the proof point around a 10% reduction in our head count in 1 year in the sense of enrolling that cost, annualized cost reduction forward is a very positive indication of how we think about cost, but I can't give you a definitive by way of it being lower. But if you add up all the comments I've made, you can come to your own assessment.
Operator: Our next question is from John Cronin from SeaPoint Insights.
John Cronin: I just want to come back to what's happening in the banking system more broadly. Your CET1 print is obviously very strong. I hear your comments in relation to the inaugural dividend and that being more of a signpost than necessarily a run rate. And that being said, you've stuck your CET1 target of 14%. I think I asked you about this back at the half year. And I know you can't comment now in relation to where that might trend, but we've seen one of your peers formally increased its target ratio to the surprise of markets. And I guess, look, theoretically, if you weren't in a sales process, like what are you thinking right now in terms of optimal levels for a bank like PTSB, if I can put the question like that? And is there anything we need to be thinking about in terms of the same?
Eamonn Crowley: So thanks for your question, John. And nice to hear from you. So we're sticking to the 14% level. What you would have seen from the outcome from our SREP engagement with our regulator last year, our SREP demand reduced by 25 basis points. So after many years of increasing SREP demand, we're seeing some level of reduction. So in that sense, we believe 14% is the level. It's arguable. And John, we would have discussed this over many years. It's hard to go for a bank like ours, which has a more simplistic in the sense of a business model not only complicated with no level of additional complication around market making and trading and things of that nature, it's arguable that rate should be lower if you compare it to our competitors across Europe. But we know Ireland has a higher risk weight and has a higher capital demand. But we're sticking at 14%, but we've seen a downward trend in the sense of the request from a regulator based on our SREP outcome. So that's where we are, John.
Operator: We currently have no further questions. So I will hand back to the management team for some closing remarks.
Eamonn Crowley: Great. Well, thank you very much. 2025 has been a transformational year for us, not only by way of the results that we've produced, which clearly shows growth. Our balance sheet grew by 6%. It clearly shows that if there's credit growth in the market, we will get our fair share, if not more. And the diversification of our business model will assist us in driving on both our net interest margin, but also our volume in due course. So this is a very exciting time for us. And of course, it's transformational in the sense that we have put ourselves up for sale, and the process with regard to that is ongoing. So thank you very much, and thanks for your attention.